Operator: Good day, and welcome to the Entergy Corporation Fourth Quarter 2012 Earnings Release Conference Call. Today's call is being recorded. At this time, for instructions and opening comments, I would like to turn the call over to the Vice President of Investor Relations, Ms. Paula Waters. Please go ahead, Ma'am.
Paula Waters: Good morning, and thank you for joining us. We'll begin today with comments from Entergy's Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO, will review results. [Operator Instructions] As part of today's conference call, Entergy Corporation makes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, and there are factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements. Additional information concerning these factors is included in the company's SEC filings. On September 25, 2012, ITC Holdings Corp. filed a registration statement on Form S-4 with the SEC, registering shares of ITC common stock to be issued to Entergy shareholders in conjunction with the proposed spin merge of our transmission business with ITC. But this registration statement has not become effective. In addition, our subsidiary, Mid South TransCo, will file a registration statement with the SEC, registering TransCo common units to be issued to Entergy shareholders in connection with the proposed transactions. Entergy shareholders are urged to read the proxy statement prospectus included in the ITC registration statement and the prospectus to be included in the TransCo registration statement and other relevant documents when available, because they contain important information about ITC, TransCo and the proposed transactions. These documents, when they are available, can be obtained free of charge from the SEC's website at www.sec.gov and can also be obtained, free of charge, upon written request to Entergy or ITC. Now, I'll turn the call over to Leo.
Leo P. Denault: Thank you, Paula. Good morning, everyone. Today marks the turning of the page in Entergy's story. Last week, Wayne Leonard officially retired after a long and successful career that spanned nearly 40 years. He leaves behind a legacy as a tremendous and inspiring leader to all of us. Rick Smith also retired last week. Both Wayne and Rick will be missed. They will be missed not only because of their tremendous leadership and counsel but also as dear friends of the many of us they have touched throughout more than a decade here at Entergy. That said, they leave the company and the management team well prepared for the challenges and opportunities ahead. As a result, we have 2 new participants on the call with us today. Drew Marsh, Chief Financial Officer, who you will hear from shortly to review results; and Bill Mohl, President of Entergy Wholesale Commodities, who assumed the top EWC box from Rick. They join those you already know, Rod West, our Chief Administrative Officer; Theo Bunting, Group President of Utility operations; Mark Savoff, Chief Operating Officer; Renae Conley, Executive Vice President of Human Resources and Administration; and Marcus Brown, General Counsel. Also with me today for his last earnings call is John Herron. When he announced his retirement as our Chief Nuclear Officer in December, John agreed to stay on through March to help with the transition. During his 12 years at Entergy and over his 33-year career, John made significant contributions to safe and successful nuclear operations. Most recently, he oversaw the nuclear organization through 2 major construction projects completed last year. The 178-megawatt Grand Gulf upgrade in June and the Waterford 3 steam generator replacement project in December. John is succeeded by Jeff Forbes. Over the past 14 years, the depth of our nuclear leadership has been clear through seamless transition at the Chief Nuclear Officer role. We have no doubt the time is right for Jeff to take the reins. You will meet and get to know Jeff in future earnings calls, at conferences and other events. I've said before but it bears repeating, one of the greatest gifts Wayne left to me was this leadership team. Together, we have a combined industry experience of nearly 240 years. We are facing a period of not just the well-documented challenges but also opportunities. I know the team assembled here today is up to the task. Everyone is focused on one overarching goal, to create sustainable value for our 4 key stakeholders, our owners, our customers, our communities and our employees. I know all of those stakeholders are listening in today and many of you have asked, what will change? Undoubtedly, some things will. First of all, the world around us will continue to evolve. Entergy's point-of-view driven business focus that led to significant value created over the last 14 years will not change. It is designed to identify and adapt to changes in our business, technology, economy and a host of other factors. But I can also promise you this, our values as a company will not change. Safety is the top priority. I can also assure you, we will never change our commitment to integrity, to transparency, to community service and to just doing the right thing. Another thing that won't change is our commitment to successfully execute on the initiatives before us now. And now, as in the past, I'll give you an update on where things stand. But before I get there, let me take a quick moment to talk about what's been in the news a lot since Sunday night, and that's the power outage that occurred during the Super Bowl. We spent the past week doing everything we can to see what happened. And you might have seen this morning that we traced the cause of Sunday's outage to an electrical relay device. We've now taken the device out of service, and we certainly do regret the interruption that occurred that night. Overall, the Super Bowl game itself and the festivities surrounding was a huge success. We're also proud to have been a part of it and thought the city did a fabulous job. A true showcase for a city ideally suited for such events. Our objective, like everyone else's, is to get the Super Bowl back in New Orleans in 2018, the 300th anniversary of the city. Now, moving to our proposal for each utility operating company to join the Midwest Independent Transmission System Operator or MISO, following favorable actions by the Louisiana Public Service Commission, the Public Utility Commission of Texas and the Arkansas Public Service Commission, a milestone was reached on November 15. On that date, the Mississippi Public Service Commission and the City Council of New Orleans granted their approvals of the MISO requests, subject to certain conditions. Teams are fully focused on completing the numerous operational and regulatory steps required for cutover to MISO on December 19 of this year. Following the PUCT's decision granting Entergy Texas's application to transfer operational control of its transmission assets to MISO, subject to certain conditions, significant issues arose relating to certain power purchase agreements that were put in place at the time of the jurisdictional separation of Entergy Gulf States some 5 years ago. Before briefly going through the details, I want to say this. Our priority right now is to continue to work with the staff of the PUCT to resolve this issue. We believe their concerns, as well as those of the commission, can be addressed in a way that works for everyone. To summarize, at issue are PPAs between Entergy Gulf States Louisiana and Entergy Texas that relate to natural gas and oil-fired units. At the time the Entergy Gulf States was split into 2 companies, plant ownership was assigned according to state lines. The cross-PPAs allowed for each company to have access to the capacity of the others' plants in the same ratio as before the split. These arrangements helped to minimize shifts in production cost as a result of the jurisdictional separation. Much discussion and analysis have occurred in the course of the last 2 months with respect to the effect on those PPAs of either joining MISO, or Entergy Texas exiting from this system agreement. But what's important here is that our updated analysis has concluded that Entergy Texas will be in essentially the same position with or without the PPAs. An evaluation by an independent third party is underway now to thoroughly vet this updated analysis, including its inputs, assumptions and the methodology. In any event, we have committed to preserving the principles of jurisdictional separation I mentioned earlier. Clearly, we had a misunderstanding that we wish had not happened, but we are working to resolve the issue and move forward so that all of our customers can realize the benefits of joining MISO. Additional benefits for customers and other stakeholders can and should be achieved through a complete independence of the transmission business. The proposed transaction to spin off and merge the transmission business with ITC Holdings does just that, and it is clearly a superior business model. We now have procedural schedules in all retail jurisdictions where we've filed. Generally, they call for direct testimony of staff, or in the case of New Orleans the advisers and intervenors, to begin in March and continue through midyear. Successive hearing dates are set for late June through early August. Specific dates in each procedural schedule are provided in the appendix to the webcast slides. Other upcoming steps at the retail jurisdictional level include filing a transaction approval request in Texas and Missouri. As a reminder, Texas must render a decision on change of control within 180 days of filing. As a result, the timing of the Texas filing will take into account the status of the change in control filings in other jurisdictions. At the Federal Energy Regulatory Commission, protests and interventions were filed by the January deadline. We are reviewing the filings and we'll submit Entergy's and ITC's response to the issues to help clarify the record. But I would say this, the issues raised are consistent with those that have come out of the stakeholder engagement process we've been jointly undertaking with ITC since the announcement in December of 2011. We did clear one requirement for the transaction. On January 14, the waiting period expired under the Hart-Scott-Rodino Act without action. We continue to target closing in 2013. In other utility developments, I'm pleased to report significant strides in our investment program over the past 3 months. On November 30, we closed the acquisitions of the Hot Spring and Hinds power plants in Arkansas and Mississippi. These modern, efficient, natural gas-fired plants provide benefits for our customers in the form of lower energy costs. Then in December, we put in service the Waterford 3 steam generator replacement project. It will allow for continued safe operation, providing fuel diversity to mitigate risks for our customers today and well into the future. In all 3 investments, our regulators were supportive by approving cost recovery mechanisms to reduce regulatory lag to a matter of days and weeks. In doing so, regulators recognized the importance to the customers to facilitate investment through timely recovery mechanisms that help to maintain the utility's credit-rating at a reasonable level and support access to capital on reasonable terms. The recovering rates today for the Waterford 3 cost is subject to a standard prudence review to be initiated no later than April 30. Our regulators' foresight helps to position the utilities well for the future as the needs for investment continue at elevated levels to deliver reliable, affordable power to our customers. Long-established legal principles also provide the foundation as we enter the year with 3 major rate cases and the ROE inquiry in Mississippi. Clearly, we have concerns in Texas. After a disappointing rate case decision last year, we are pursuing 3 parallel paths. First, on November 30, we filed a request for special circumstances recovery of approximately $15.5 million annually of capacity costs through the fuel adjustment clause. We are seeking to remedy, through a good cause exception, the commission's denial in our base rate case of recovery of capacity costs that provide economic and reliability benefits to our customers. Second, that same day, a draft purchased capacity rider rule was published in the Texas Register. Procedurally, the PUCT must act by May 31. If approved, Entergy Texas will immediately assess options in filing for cost recovery. Third, we appealed the 2012 rate case decision in Travis County District Court. We expect to know more as the year progresses. In addition, we always have the option of filing a new base rate case at the appropriate time. To that last point, the due date for the Louisiana rate cases was extended by 2 weeks, and the Entergy Arkansas rate case will be filed in March. Before moving on, I know many of you are tracking the ROE proceeding in the Entergy Gulf States Louisiana natural gas business. We do not believe the 9.4% draft recommendation from the Administrative Law Judge is supported by the facts. Our testimony points to no less than 10.1%. A final ALJ recommendation is pending. After that, the matter will be referred to the LPSC for decision at a future meeting. It is impotent to note that all parties have acknowledged that ROEs for natural gas distribution businesses are lower than for electric utilities. Turning to Entergy wholesale commodities. I would point out that, once again, the fleet ran safely and securely this quarter. The nuclear plants operated at a 90% capacity factor even with a 2-week outage caused by a transformer failure at Fitzpatrick. For the nonnuclear fleet, capacity factor was 39%. In addition, we continued hedging efforts. Notably, we increased 2015 nuclear energy hedge by 14%. We continue to evaluate the costs, opportunities and risks associated with all hedging product options, consistent with the objectives of providing downside protection against the nuclear fleet cost structures and protecting our credit metrics. Our point of view guides our evaluation of hedging products and execution timing. As we've said before, we are bullish longer-term, relative to the current forward curve. That said, prices are what they are. Near-term power prices are challenging for some merchant nuclear generating units in certain competitive markets. We have not made any decisions to shut down any of our merchant nuclear plants. We are continually assessing our businesses and investments based on our analytical, dynamic point of view approach. Our business plans must be flexible to adopt to high and low price markets, and must balance short and long-term views. The fact is some plants are in more challenging economic situations for a variety of factors. Such as the market for both energy and capacity, their size, their contracted positions, and the investment required to maintain the safety and integrity of the plants. It'll come as no surprise to you that some of our EWC nuclear plants are challenged. While we will not get into the specifics around the individual EWC plant economics, I will say that there are years when certain plants' cash flows can be negative at today's forward price curve. In the near-term, we will continue to be diligent and operate as efficiently as possible. We will do whatever it takes to maintain the safety and the integrity of the plants. We will also advocate for efficient markets in recognition of the many benefits nuclear plants offer to our communities and our customers, including the source of clean energy with effectively 0 air emissions, grid reliability supported by low forced outage rates and fuel diversity, and jobs and other contributions to the regional economy. In addition to economics, EWC efforts continued towards securing necessary approvals for long-term operations of Vermont Yankee and Indian Point. Regarding Vermont Yankee, oral argument at the Second Circuit Court of Appeals was held on January 14 before a three-judge panel. As a reminder, this case involves the state of Vermont's appeal of the January 2011 Federal District Court ruling, invalidating certain state laws regarding continued operation and barring the state from requiring a below-market PPA as a condition for continued operation. A decision could come by midyear. Two days later, we participated in a hearing at the Vermont Supreme Court. This state court hearing concerned a claim by an intervenor group that Vermont Yankee was operating in violation of past Vermont Public Service Board orders. Next steps will be established by the state court. However, given the federal district court rulings and the absence of any state ruling prohibiting operation, we will continue to operate until final decisions are reached in the federal case and in the Certificate of Public Good proceeding before the VPSB. Our right to continue operating is supported by representations to the federal district court by the Vermont Attorney General. Also at the state level, hearings on direct testimony in the CPG proceeding will be held next week. Additional testimony, hearings and briefings are scheduled through August of this year. A board decision is expected by year-end. Regarding Indian Point, the proceedings continued concerning the various license renewal efforts at the Nuclear Regulatory Commission and in the state of New York. We expect these processes to continue for many years, during which we have the right to continue to operate the units. In addition, I know many of you are tracking the Energy Highway initiative and other developments in New York. In November, the New York State Public Service Commission directed Con Edison in consultation with the New York Power Authority to develop a reliability contingency plan for the potential retirement of Indian Point by the end of 2015. The Public Service Commission stated it was not taking a position on the potential closure of Indian Point, but providing potential solutions to maintain reliability in New York in the event of power plant closures. Such planning is common by utilities and appropriate. EWC has and will continue to participate in this process. Because we submitted a timely and sufficient application for a renewed license and given the status of the NRC proceeding, we fully expect that the plant will be operating well beyond 2015. In 2013, I know I don't have to remind you, we have a full regulatory agenda at the utility. In the first quarter, we will make base rate case filings for Entergy Louisiana, Entergy Gulf States Louisiana and Entergy Arkansas. Final decisions are expected by year-end or in early 2014. The first quarter will also include the annual formula rate plan filing in Mississippi. Just this week, the MPSC approved the settlement in the 2011 test year filing, confirming performance within the ROE bandwidth, therefore, no change in rates. In addition, Entergy New Orleans will continue its efforts to resolve its 2011 test year FRP filing. In conjunction with those negotiations, ENOI will be seeking a short-term extension of its FRP for an additional year until the next full base rate filing, currently targeted for 2014. This rate case filing is a condition in the city council's approval for Entergy New Orleans' 20% participation in the 550-megawatt, Ninemile 6 combined cycle plant, which is under construction now. The new plant is currently expected to go into service the first part of 2015, and the base rate case is to be filed one year prior to the estimated in-service day. In addition, 5 of the 6 utility operating companies will seek cost recovery of extraordinary storm costs in 2012. In January, we used cash storm reserves for Hurricane Isaac in the amounts of $187 million for Entergy Louisiana and $65 million for Entergy Gulf States Louisiana. Entergy New Orleans will also seek to recover Isaac costs, as well as replenish its cash storm reserves. Recall that the city council originally approved a $75 million fund to be accumulated over 10 years. Since that approval in 2006, damages from hurricanes Gustav, Ike and Isaac have totaled approximately $80 million. Entergy Arkansas will present a cost recovery proposal to the APSC in its upcoming base rate filing to recover the $55 million to $65 million of costs for the December 25 ice storm. And finally, Entergy Mississippi will consider the level of storm accrual in its now annual audit process. 2012 was once again a year when the Entergy region was hit by both hurricanes and ice storms. We also assisted in the June mid-Atlantic and Midwest wind storm event and Superstorm Sandy recovery events. I'm proud to tell you that the Edison Electric Institute has awarded us the 2012 Emergency Response and Assistance Awards. This makes 19 awards we have won in 15 consecutive years. As you know, but it doesn't hurt to repeat it, we are the only utility in the country to win a response award every year since the inception in 1998. This year, EEI recognized our restoration work on Isaac and our assistant work on the windstorms and Sandy. Finally in 2013, the utility will focus on regulatory and operational efforts. Those include the successful completion and integration into MISO, and the closing of the ITC transaction, as well as continuing the utility' construction program, including the Ninemile 6 plant. At EWC, we will continue our ongoing hedging efforts to meet the objectives I discussed earlier. While we expect the Indian Point license renewal proceedings to continue for some time, you will likely see decisions regarding Vermont Yankee before the federal and state courts, as well as at the Vermont Public Service Board. We will analyze those carefully and evaluate next steps from there. While there are a number of regulatory operational and legal initiatives underway throughout the company, I know that each and every day, safety and operational excellence will be at the forefront for all employees. Providing safe, secure, reliable and affordable power to our customers is central to each and every one of us. Looking back, 2012 was an eventful year. We achieved many operational and financial accomplishments. After ups and downs during the year, our final 2012 operational earnings per share exceeded our original guidance range. I understand that many of you take out items like tax settlements. To that end, excluding the net tax benefits above the original guidance assumption of a 34% effective income tax rate, puts us around the midpoint of our revised 2012 operational guidance range of $5.25 per share. As you'll recall, the reduction in our guidance range was driven by external factors, namely, higher pension expense due to lower interest rates and updated actuarial experience studies, milder than normal weather at the utility and lower market power prices at EWC. Operationally, there were numerous accomplishments company-wide last year. I've mentioned a number of them already. Other operational achievements include all of the utility companies continued gains in the J.D. Power and Associates 2012 Electric Utility Customer Satisfaction study. Entergy New Orleans was named the Most Improved Utility Company and 4 of our utilities were among the top 8 performance in proactive outage communications. The nuclear fleet completed back -- breaker to breaker runs at Grand Gulf and Cooper and 2 back-to-back breaker-to-breaker runs at Fitzpatrick. The company received multiple awards and recognitions for community relations, corporate citizenship, climate protection and customer service. In closing, as you look at Entergy today, it represents a strong utility and service territories with solid economic growth, constructive regulatory relationships, manageable environmental risks and low-cost electricity during a time of rising investment needs. And a merchant generation business with safe and reliable plants that will benefit from the recovery of power markets. These businesses have and will continue to support return of capital to our owners, to our financial outlook with our current mix of businesses that support the dividend at the current level, and dividend growth potential for shareholders upon execution of the ITC transaction through the combination of Entergy and ITC dividends, and a strong balance sheet and financial flexibility. At the same time, this leadership team will not relent on looking for opportunities to make things better for all of our stakeholders. Even if they are hard, even if they take time, the MISO and ITC transactions are examples of that. Throughout all of this, you can be assured we are fully focused on executing on your high expectations for us every day. Now, I will turn the call over to Drew. Drew?
Andrew Marsh: Thank you, Leo, and good morning, everyone. In my remarks today, I will cover fourth quarter and full year 2012 financial results, cash performance for the quarter and the full year, and 2013 earnings guidance. Now let's turn to the financial results for the quarter. Slide 2 summarizes fourth quarter 2012 results on an as reported and operational basis. Operational earnings per share were $0.78 higher compared to a year ago, driven by higher earnings at Utility and Parent & Other, while results were lower at EWC. Fourth quarter as reported earnings included a special item for expenses incurred in connection with the proposed spinoff and merger of Entergy's transmission business with ITC Holdings Corp. Spending on our spin merge initiative reduced earnings per share by $0.06 in the fourth quarter of 2012 versus the $0.07 per share recorded for this item in 2011. Slide 3 summarizes the major drivers by segment. Starting at the utility, results were higher in 2012 due primarily to lower income tax expense and higher net revenue. These are partially offset by higher depreciation expense. The utility's income tax expense was lower due primarily to the recent settlement with the IRS on the tax treatment of the utility's decommissioning liabilities. In this settlement, we conceded a position that we took in the 2004 return on including the utility's nuclear decommissioning liabilities in cost of goods sold. As part of the settlement, Entergy Louisiana also increased the tax basis of its assets, which entitled the company to approximately $550 million of additional tax depreciation for the tax years 2006 and beyond. This part of the settlement created a permanent book to tax difference, and as a result, an income tax expense benefit, net of interest, of approximately $155 million was recorded in the fourth quarter. Utility also realized higher net revenue compared to the same period in 2011. The net revenue increase was due primarily to weather adjusted sales growth and the net effect of pricing adjustments from regulatory actions and investments, some of which were partially offset by increased expenses. Weather for the quarter was milder than normal, but roughly in line with the fourth quarter of 2011. On a weather adjusted basis, retail sales were up 0.8% quarter-over-quarter. Growth in the residential and commercial sectors more than offset lower industrial sales. Furthermore, the decline in billed industrial sales volume was driven by temporary outages at 2 major customers. At EWC, earnings declined due largely to lower operational adjusted EBITDA, which I will review shortly. Other factors included a higher effective income tax rates and higher decommissioning expense. Decommissioning expense increased quarter-over-quarter due to a favorable adjustment to the decommissioning liability recorded in 2011 at Vermont Yankee. At Parent & Other, results improved quarter-over-quarter due primarily to lower income tax expense. Slide 4 summarizes EWC's operational adjusted EBITDA for the fourth quarter of each year. The quarter-over-quarter decline of $32 million was due primarily to lower net revenue driven by lower nuclear energy power prices. Slide 5 recaps our cash flow performance for the fourth quarter. Operating cash flow in the quarter was $720 million, approximately $280 million lower than the prior year. The main drivers of the overall decrease were lower deferred fuel collection, non-capital cost from Hurricane Isaac restoration and lower net revenue at EWC. These decreases were offset partially by lower pension contributions. Now, I'll move to full year results. Slide 6 compares 2012 as reported and operational earnings for 2011. On an operational basis, 2012 earnings per share ended the year at $6.23, down from $7.62 per share in 2011. Lower operational earnings at the Utility and EWC were partially offset by higher results at Parent & Other. The main drivers for the decrease were: differences in tax benefits resulting largely from the net effects of agreements with the IRS in 2011 and 2012, as well as other income tax adjustments; lower operational adjusted EBITDA at each EWC; and higher non-fuel operation and maintenance expense at the Utility due partly to higher compensation and benefit costs. Other factors in the year-over-year decline were increases in interest expense and depreciation expense. Higher utility net revenue partially offset these items. Slide 7 summarizes EWC's operational adjusted EBITDA for 2011 and 2012. As with the quarterly drivers, a decline in net revenue on lower energy pricing was the primary factor in the $244 million decrease. The decrease was partially offset by additional net revenue from the RISEC facility which was acquired in December of 2011. Higher non-fuel operation and maintenance expense and higher taxes, other than income taxes, also reduced EWC's operational adjusted EBITDA. Slide 8 summarizes our cash flow performance for the full year. For 2012, operating cash flow was $2.9 billion, down from $3.1 billion in 2011. Drivers of the decrease included lower net revenue at EWC, noncapital costs from Hurricane Isaac restoration and higher income tax payments. These items were partially offset by lower pension contributions. Slide 9 summarizes our 2013 earnings guidance range. The as reported guidance does not reflect potential future expenses for the special item in connection with the proposed spin merge of Entergy's transmission business. As reported earnings guidance will be updated as actual costs are incurred. In keeping with past practice, we have updated a few line items in the guidance table, including final 2012 results, major income tax variances and final 2012 weather effects. In affirming our earnings guidance, we have noted that current expectations point to the lower half of the $0.80 range due to updated pension and post retirement cost estimates, which came in approximately $0.17 per share below the midpoint assumption. With 11 months to go in the year, it is still early. And even though current estimates do point to the bottom half of the guidance range, we are committed to deliver optimal results. We will continue to focus on opportunities to improve our business, including managing everyday costs, and looking for ways to safely improve efficiency and effectiveness through continuous improvement and operational excellence. One last point on 2013 as it relates to quarterly results. While we do not provide quarterly guidance, Slide 10 outlines some key events to keep in mind when considering the quarters. We had several tax items in 2012, both positive and negative. In addition, the second quarter results included a regulatory charge to reflect sharing of certain tax benefits with customers. 2012 EPS also reflected some variation from quarter-to-quarter associated with weather and normal seasonality. Regulatory actions and completion of major projects such as the Grand Gulf extended power upgrade, which was placed in service in mid-2012 can also affect quarterly timing. At EWC, the second quarter of 2012 included an adjustment to the decommissioning liability, which reduced expense by $0.16 per share. Third and fourth quarter results also reflected awards for Indian Point 2 and Vermont Yankee respectively, arising out of the Department of Energy's failure to provide timely spent fuel storage. These awards resulted in the reversal of certain previously recorded expenses. In closing, Leo outlined a vision to create sustainable value for each of the 4 key stakeholders through focus on both operational excellence and portfolio management. We must successfully identify productive investments at the Utility, which benefit customers and grow business, execute on hedging strategies at EWC that protects the value of those assets while also providing upside price opportunity, develop ways to improve efficiency, and manage risks more effectively throughout the company and execute on key initiatives. Initiatives such as the effort to join MISO, the spin merge of the transmission business and ongoing efforts to ensure our ability to run our nuclear plant through an extended license period. These actions will enable us to achieve the vision and to meet our long-term financial outlook for robust utility earnings growth, EWC option value preservation, solid capital deployment, and strong liquidity and credit quality. And now, the Entergy team is available for questions.
Operator: [Operator Instructions] We'll take our first question from Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: Quick first question here for you. On the -- given all the rate cases upcoming, what were your earned regulatory ROEs across your jurisdictions? And I'm specifically thinking about 2012 for those jurisdictions where you're filing?
Leo P. Denault: Theo?
Theodore H. Bunting: In 2012, I think if you look at what the earned ROEs were, they were -- actually they were within -- a little above the allowed ROEs in the jurisdictions where we're talking about filing, principally Arkansas and Louisiana. So as it relates to 2012, ROEs in those jurisdictions were fairly close to slightly above the allowed ROEs.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: Great. And sorry, you said Arkansas and Louisiana?
Theodore H. Bunting: Correct.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: And then with respect to Texas, if you could just comment where that is and perhaps specifically in the back half of the year and how that's trending given the PPA?
Theodore H. Bunting: I mean, obviously, as Leo spoke earlier, we have our challenges in Texas and as you would expect, given the impacts we talked about realistically in the filing of our rate case, if you remember back a couple of quarters ago, on the impact. Not recovering that capacity cost would help on ROEs. And we talked about ROEs maybe impacting earned ROEs to a level of somewhere close to 6%, and obviously, you'll see that impact in 2012 in Texas. So obviously, it's not as nice a picture as say, Arkansas and Louisiana. But as Leo laid out, we do have options in terms of how we'll work to address that, and that's our objective and goal in 2013, is to pursue the paths we have available to improve that result.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: Great. And then just turning to the EWC segment for a quick second. Obviously, the New England results came out the other day, can you indicate whether you committed Vermont Yankee into that auction and whether it cleared, by chance?
William M. Mohl: Julian, this is Bill. We did actually commit VY and it did clear. And you may ask a question, why did we do that? As we haven't in the past, but now that, that unit has been delisted, it's not considered a reliability must-run unit that takes away a lot of our relicensing risk as it relates to the CPG issues. So that in the event that we would encounter any problems, we could replace it with a fungible product.
Operator: And we will take our next question from Dan Eggers with Credit Suisse.
Dan Eggers - Crédit Suisse AG, Research Division: Leo, just kind of following up on the comment you made earlier. Just -- you're at the daily cash generation of the assets in how you evaluate keeping the plants in service. What do you need to see market condition wise, maybe to change your opinion on whether these assets stay in service and is there some sort of time line you guys think about to try and address some of those questions?
Leo P. Denault: Well, as far as the time line goes, Dan, it's -- as you might guess, it's an ongoing time line. We never stop and we never start, it's just always something that we would be doing regardless of what's going. As far as absolute levels, we are not going to get into the specifics around plant economics at this price or that price. But suffice it to say that it's the kind the thing that we look at on an ongoing basis. We've always look at it on ongoing basis as it relates to every decision we make, whether it be continued operation, with it be hedging or whether it be any kind of portfolio management activity that might be around those assets. So there's no specific time line other than making sure that we're doing everything with our eyes wide open. The big time periods are obviously when you have CapEx that goes into it or something like that where you've got to make an assessment of how much money you're going to spend going forward. And so, if there's a time frame around which you make more decisions rather than less, it has to do with big changes in cost structure, for example, a big CapEx program or if there was something else that happened. But otherwise, it's just an ongoing evaluation.
Dan Eggers - Crédit Suisse AG, Research Division: Okay. And I guess just with the utilities, the weather normalized demand growth was seemingly well above trend for what we saw across the country. Although we did see industrial trail off a bit in the fourth quarter. Can you just kind of talk about the mix of the 1.25% growth for '13, and where you see the most positive signs, and the most concerning issues right now?
Leo P. Denault: You really faded out there, Dan, so I'm not sure. I think you asked the load growth question. So I think, Theo can answer that.
Theodore H. Bunting: Dan do you mind kind of just repeating the last portion of that? As Leo said, you were fading out.
Dan Eggers - Crédit Suisse AG, Research Division: I was just wondering, with power demand growth, you guys had a good 2012 weather normalized relative to the rest of the country. What do you guys see as the trend for '13? And from a mix perspective, is residential going to continue to be so strong or is commercial catching up or how do you guys see that kind of evolving this year?
Theodore H. Bunting: I think when you -- we think about 2012, 2012 ended up pretty much in line with what we expected as it relates to growth. Not only overall, but really even among some of the specific customer classes, particularly residential. As we look to 2013, I think as we said earlier, we had -- I believe 2012 we ended at about 1.9% weather adjusted. 2013, I believe we mentioned on the last call, we were expecting somewhere in the range of 1.3%. So obviously, you see that moving down a little bit. And I think we will obviously -- it's moving down because of things you'll probably see with other companies, primarily in the area of residential, energy efficiency, programs that have caused changes relative to -- I mean, speak to government programs around lighting and such. So we do see some impacts in residential as it relates to that. We are optimistic that maybe it won't be as impacting it as much as we may think at this point in time. In the industrial, we tailed off second half of the year, much as we had expected, primarily because of outages. In 2012, we continue to see GDP much above the national average which, as we spoken of many times, has helped to differentiate us to some extent, as it relates to sales volumes. I think as you go into 2013, if you look at some of the projections around GDP, that gap starts to close. So we will probably tend to trend more to what you may see with -- across other utilities in the country. But what I'll also say is we still continue to be a place for opportunities as it relates to economic development and potential new industrial customers. So we'll continue to keep our eyes on that and obviously, as those things materialize and mature, you will start to see the impact of those. Hopefully, we'll see them in our service area. If not in our service area, you will see the impacts they may create even if they're in other service areas where they could potentially affect us through some of the impacts of changes as it relates to commercial and residential, even in support of those, if those industrial customers are not in our area.
Operator: And we will go next to Paul Patterson with Glenrock.
Paul Patterson - Glenrock Associates LLC: I just wanted to ask you guys about -- there's a decommissioning dispute that was talked about in the press this week with another company, nothing to do with you guys. Just wondering, I'm not going to ask you to comment on that but I'm just wondering are you -- have you guys had any interaction with the NRC? Is this something that you've heard about either in your neck of the -- I mean, with your plants or what have you or just any ideas about -- have there been any disputes about decommissioning calculations or any kind of review that's sort of generally generically happening at the NRC?
Leo P. Denault: I'll let John Herron address that.
John T. Herron: Yes. We are very familiar with the issue that you're talking about. Again, we don't have all the details. The Office of Investigation has concluded their investigation on that issue. I will tell you that we are very familiar with the decommissioning rules and regulations and the submittals that we have to provide to the NRC. We've had some discussions with the NRC about one of our sites. We worked that out and resolved that issue but clearly, not a 50.9 issue which is what the NRC concluded with that utility decommissioning submittal. We are familiar with it, certainly, have done a lot of detailed understanding of what went behind that and clearly, we don't have that same issue.
Paul Patterson - Glenrock Associates LLC: Okay, great. And then there was an article just today, I think I saw on how the state of Vermont, I guess, is perhaps looking at some legislation. It doesn't sound like it's a huge amount of money but it looks like there's sort of a $40 million potential, that they're concerned about higher needs for decommissioning expense from a state perspective, it sounded to me from reading the article, as opposed to the federal level. Does the state have any -- I mean, generally speaking, my understanding is decommissioning and the requirements associated with that are completely federal. Is that pretty much the case or is there -- are there some other sort of decommissioning or cleanup costs that states might have if there was in fact, decommissioning happening?
Roderick K. West: This is Rod West. The rules relative to decommissioning are federal, federal jurisdiction in nature. We were not at all, and have not been surprised by Vermont's efforts to test the limits of the federal jurisdiction and to assert whatever state's rights or concerns they'd have around the decommissioning issue from a state interest perspective. But it is, from our point of view, primarily a federal question and those are the rules that we are seeking to abide by.
Paul Patterson - Glenrock Associates LLC: And there were examples of -- do you know of any examples where the state actually does have authority over something like that?
Roderick K. West: I can't comment on it. Sorry, I wish I could be more helpful there.
Operator: And we will go next to Kit Konolige with BGC Brokerage.
Kit Konolige - BGC Partners, Inc., Research Division: To follow-up a little bit on the question about the earned ROEs, would it be possible to project in the guidance for '13, what earned ROEs are embedded in those expectations?
Theodore H. Bunting: Kit, this is Theo, I mean, we just don't get into that discussion.
Kit Konolige - BGC Partners, Inc., Research Division: Okay, fair enough. And the other area I just wanted to follow on a little bit was on the PPA issue with the Texas Commission. Do you have a sense of what the timing might be on that, and kind of what boxes need to be checked there, who needs to be satisfied about what at this point?
Leo P. Denault: Theo?
Theodore H. Bunting: Sure. At this point, as Leo mentioned, we've prepared an updated analysis. That analysis is now being reviewed by -- with what we consider kind of an independent third party. Again, as Leo discussed and we expect that process to click -- go on through the month of February, more than likely. And at that point, we would hope that their analysis will be complete somewhere within that time line, and we would then have an opportunity to see the results, all other party see the result. And if that analysis obviously aligns with what we have done, then we would hope we could move this forward and folks would be comfortable again, that whether the PPAs -- whether you exit the system agreement, the PPAs stay in place or not, the economic effect is effectively the same. And we do believe that's a major concern and we understand that concern. And so we're moving that. We are optimistic it will allow us to move this issue along. If you had an opportunity to view the open meeting in which this was discussed, there was some discussion around how that would move. It wasn't very -- it wasn't completely clear but obviously, we know our starting point is with the staff out of PUCT and getting the staff comfortable with the body of work that's being done and giving them an opportunity to weigh in on that from their perspective and obviously, what the staff views will be communicated up to the commission and we'll just have to see how it moves at that point. But our expectation is we're doing everything we can, and we believe other parties are as well, to move this along as quickly as possible. And we believe all signatories to the NUS are obviously interested in getting to MISO as quickly as possible so customers can achieve those benefits. So we are optimistic this will move along on a quick pace.
Operator: And we will take our next question from Michael Lapides with Goldman Sachs.
Michael J. Lapides - Goldman Sachs Group Inc., Research Division: Guys, just real quickly on Texas. At what point -- I guess my question there is there something about Gulf States Texas that leads to a lower earned ROE than what some of the other utilities, regulated utilities in Texas generally earn. Is there something that is specific to Gulf States that tends to drive that? And I'm thinking not just in 2012 or 2013, but just over the last 5 or 10 years. I'm trying to think about whether it's a structural issue with the market or a structural issue with the company.
Leo P. Denault: Theo?
Theodore H. Bunting: I mean, obviously, we're operating in a market where we're still a vertically integrated utility and subject to full jurisdiction by the PUCT. So there is no kind of market -- wholesale market type of issues. If you go back a few years, I mean, over the past 3 or 4 years, we've had successful rate outcomes in Texas and we are moving, in our view, toward a very positive path as it relates to returning to a position to earn our allowed ROEs. At the last rate case, we took a step back. And right now, our objective is to get back on that path of moving in a positive direction and heading in a positive direction of earning allowed ROEs. I can't say that structurally, there's anything different from us as it relates to operating in a vertical integrated utility market than any other vertically integrated utility. We'll just -- we'll keep working it and we've had past success and we believe we'll have success in the future.
Operator: And we will take our final question from Neel Mitra with Tudor, Pickering & Holt.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: A question on kind of the weak nuclear economics. How are you looking at unit contingent hedging right now? Are you thinking about using less of those hedges and would you be open to acquiring another CCGT like in New England, like in New York to maybe held backstop some of the nuclear plants?
Leo P. Denault: Bill?
William M. Mohl: I mean, the certain part of our portfolio continues to include unit contingent hedges. As Leo mentioned, we've taken more of an approach to protect our downside and leave opportunities for the upside. And right now, we think that's probably the best way to approach it. As it relates to adding additional assets, it's pretty similar to anything that we would do. We are always looking at opportunities in the marketplace but those opportunities have to provide value. And so I wouldn't exclude that. As a specific opportunity, we currently have no specific plans to acquire any specific assets at this point in time.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And then just as a follow-up. On the New York capacity markets, could you update us with your thoughts for the expectation for a lower Hudson Valley capacity zone and maybe the timing of that?
William M. Mohl: Sure. We are cautiously optimistic that we will see that zone go into effect in the summer of '14. However, there are still a lot of details to be worked out regarding the various rules and procedures that will apply to that pricing zone. So we're actively engaged in that and trying to make sure that when that zone is put in place, that the capacity prices associated with that are consistent with the competitive market and not suppressed due to issues such as minimum offer price rules or out of market entry, that type of thing. So we are optimistic that's going to happen.
Operator: That concludes today's question and answer session. Ms. Waters, at this time, I will turn the conference back to you for any additional or closing remarks.
Paula Waters: Thank you, Angela, and thanks to all for participating this morning. Before we close, we remind you to refer to our release and website for Safe Harbor and Regulation G compliance statements. Our call was recorded and can be accessed on our website or by dialing (719) 457-0820, replay code 6847131. The recording will be available as soon as practical after the transcript is filed with the U.S. Securities and Exchange Commission due to filing requirements associated with the proposed spinoff and merger of Entergy's transmission business with ITC Holdings Corp. The telephone replay will be available through February 15, 2013. This concludes our call. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for your participation.